Operator: Good afternoon, and welcome to the Digital Turbine Fourth Quarter and Fiscal Year 2023 Financial Results Conference Call.  Please note, this event is being recorded. I would now like to turn the conference over to Brian Bartholomew, Senior Vice President, Capital Markets and Strategy. Please go ahead.
Brian Bartholomew: Thank you, Gary. Good afternoon, and welcome to the Digital Turbine fourth quarter and fiscal year 2023 earnings conference call. Joining me on the call today to discuss our results are CEO, Bill Stone, and CFO, Barrett Garrison. Before we get started, I'd like to take this opportunity to remind you that our remarks today will include forward-looking statements. These forward-looking statements are based on our current assumptions, expectations and beliefs, including projected operating metrics, future products and services, anticipated market demand and other forward-looking topics. Although we believe that our assumptions are reasonable, they are not guarantees of future performance, and some will inevitably prove to be incorrect. Except as required by law, we undertake no obligation to update any forward-looking statements. For a discussion of the risk factors that could cause our actual results to differ materially from those contemplated by our forward-looking statements, please refer to the documents we filed with the Securities and Exchange Commission. Also during this call, we will discuss certain non-GAAP measures of our performance. Non-GAAP measures are not substitutes for GAAP measures. Please refer to today's press release for important information about the limitations of using non-GAAP measures as well as reconciliations of these non-GAAP financial results to the most comparable GAAP measures. Now I'll turn the call over to our CEO, Mr. Bill Stone.
Bill Stone: Thanks, Brian, and thank you all for joining our call tonight. I wanted to start my commentary closing out our fiscal '23 results, provide some real-time operational commentary on the state of our business today and conclude with some thoughts about our future and specifically, the role of AI and machine learning in our current and future business. First, turning to our fiscal '23 results. We closed the year with $666 million of revenue, $163 million of EBITDA and $1.15 of non-GAAP EPS. In addition, we reported gross margins of 49% and EBITDA margins of 25%. As we stated previously, our view is that the first half of this calendar year is the trough of the business. And our expectations are that our improved execution, new products and media relationships combined with increased stability in the macro environment will equate to sequential growth. And to date, we are seeing recent positive trends on all of these factors. Also included in our results is a change in the expected timing of a strategic demand agreement that was signed in the March quarter with an app publisher. We do these strategic demand contracts to help drive unique advantages for the publisher on our inventory and also accrete incremental margins for us. Our previous outlook anticipated a portion of the economics from that contract to impact the prior March quarter. However, the majority of the economic benefit from this agreement will be realized in fiscal year that we're in right now. This is strictly a timing issue, and these agreements actually have a positive impact on the fundamentals and operations of our business and as the total expected revenues and profits from that contract are unchanged. Barrett will provide more detail in his remarks. Turning to our On Device business. We put our Ignite technology on over 285 million global devices over the past year, which is a 7% increase year-over-year. But in the U.S., we saw a double-digit percent decline in devices year-over-year. New device sales in the U.S. were the lowest we have seen since 2019. Offsetting device volume declines in the U.S., however, was positive progress on our rates and demand for our platform. And despite continued headwinds being able to scale nearly 9 figures of demand from Chinese publishers on our U.S. operator and OEM supply, I was pleased that in the U.S., our revenue per device or RPD increased both double-digit sequentially and year-over-year driven by better rates and more products. In particular, I was pleased to see growth return on our DSP that we utilized for direct SingleTap installs, showing double-digit growth from the March quarter last year to this year. We expect the DSP to be one of our major growth drivers as we progress into the current fiscal year. Progress also continued with our SingleTap licensing business. Our install volume running SingleTap licensing was double in the March quarter from all of 2022, and our expectations are current June quarter will double the March quarter. We're excited to have welcomed many top 25 grossing gaming customers such as PlayerX and FunPlus. Additionally, we're also encouraged by the expansion of a number of our high-profile partners such as Amazon and Epic, who expanded both the volume of SingleTap implementations across our portfolio apps, adding additional titles and more traffic sources. We're also excited about the expected launch of our Google Marketplace integrations where both Digital Turbine and Google are jointly expanding Tier 1 publishers and brands all within Google's ecosystem. We have a healthy pipeline of partners looking to adopt SingleTap through Google and the Google Cloud Marketplace. And finally, I'm pleased to report that we've made progress with multiple large social media companies and expect to have them begin the first pilots running SingleTap over their networks in the next few months. Bigger picture for SingleTap licensing, the product market fit is very strong. And while we're excited about our prospects, I do want to remind investors that while SingleTap licensing is generating revenue today, it will take time to get to material revenue generation. The operational complexity of bringing together not just the On Device technology, but the advertisers, publishers, attribution providers, telcos and OEMs has many moving parts requiring tight coordination and management. It's taken us more time than we like to get to scale, but the good news is that given all of this complexity, once established, the moat is very difficult to replicate at scale. Similar to the early days of our Dynamic Install business where we launched on one mobile operator with only a slot or 2 and ramped and then added another and so on, it layered on nice sequential growth as we expanded the depth and breadth of carriers and OEMs. It's very early days but we're seeing those similar trends emerge here. On the App Growth Platform or AGP business, revenue was down 4% from fiscal '22 to fiscal '23. However, we expect these results to be the trough for our AGP business as we have seen revenue trends improving since the beginning of the calendar year. With the integration of our acquisitions now largely complete, the benefit is that our execution in this part of the business has made major strides compared to last year. And we now expect that to bear fruit as we scale things like our AI and machine learning, our SDK bidding, our video rendering technology improvements and so on. I was also pleased to see Google bidding integrate with our mediation solution, FairBid, that should continue to improve our share of voice as we add more demand into our publisher supply. Turning to the future. I want to spend a few moments highlighting our new product growth drivers. I mentioned both new enhancements on our ad tech solutions and SingleTap licensing earlier in my remarks as strategic growth opportunities. And we've also mentioned on prior calls, we want to build a Shopify for App Stores On Device. We believe we're uniquely positioned with our On Device technology, our publisher relationships and our operator and OEM relationships. We have now launched our first alternative app stores with four U.S. operators and also have a very strong international pipeline. We also believe the global regulatory environment will provide additional thrust to this vision. A specific example of the regulations changing is Apple is preparing to support sideloading applications in the EU as part of its future versions of its iOS operating system. And to achieve this vision, there are some market pain points we will be solving, including making it easier for app publishers to port their apps to a new platform, managing payments, installing the apps and managing curation of the micro stores. On making it easier to port apps and manage payments, we took the first step in accelerating our efforts in this area. We're taking an equity position in an alternative app store company called Aptoide, which has approximately 430 million users, 10 billion downloads and over 1 million apps. Combining these capabilities with things like SingleTap will make all installs easier for consumers. And we're actually running SingleTap installs on Aptoide's alternative app store today. The alternative app stores will also help us further leverage our ad tech assets with applications supported by in-app advertising revenue, but the app stores will also help us with our first foray into this in-app purchasing market, which is a $100 billion global addressable market today. And here in the U.S., it's over a $50 billion market today and expect it to grow to over $600 billion by 2030. You'll see us refer to this business as our DT Hub business and variants on the hub, whether that be things like DT GamesHub, DT app hub and so on. And to tie all this past, present and future together, because of the exclusivity and uniqueness of our position with our On Device and publishers, we're able to create deeper, more strategic relationships with our partners. And to that end, we've secured many tens of millions of dollars of revenue bookings for this current fiscal year across various verticals such as social media, weather, gaming and so on. We will provide the publishers with an alternative route to market, leveraging our On Device and SingleTap footprint, whether that's through our new DT app hub, our Dynamic Installs, our DSPs and so on. And this has not just a strategic benefit and validation of the DT platform benefit, but also the financial benefit of derisking future revenues. And finally, before I turn it over to Barrett, I wanted to spend a few moments discussing our AI and machine learning strategies for investors. And while I do think these terms are getting a bit overhyped in the press right now, they nevertheless are and have been important components of our past, present and future strategies. Our business was actually built a decade ago, creating machine learning models to deliver dynamic experiences to users based upon using first-party data from our carrier and OEM partners. We continue to use AI and machine learning to help us optimize our SingleTap business, automate workflows and curate content in our content media business, leveraging large language model or LLM-based conversational AI and ML models to optimize our ad platform. We'll continue to leverage AI as a foundational technology in our business, including our hubs business as we build curated privacy-preserving experiences based upon AI recommendation engines and port applications that are tailored to specific audiences. The important takeaway for investors is that there are three key success factors to winning with AI and machine learning. The first is the quantity, quality and uniqueness of the data sets. Companies have access to unique first-party data who will have material advantages over other players using third-party data that is either for sale or generally available on the Internet. Digital Turbine's access to On Device data with Ignite present on over 1 billion devices globally is a foundational core for us to leverage AI and machine learning models and algorithms, which run on anonymized data that enables us to protect user privacy. The second is the quality of the models. We're doubling our investment in dedicated data science teams and machine learning engineers, both in Europe and here in the United States, building these models across all segments of the DT network. The final component is the actual application being used commercially to deliver value to the end user. Our applications like SingleTap, content media and hub are all specific use cases of AI and machine learning enhanced offerings bringing value to all of our stakeholders across end users, operators and OEMs and app publishers. We're very bullish on AI and machine learning, both for our future success as well as for society at large, but I caution investors to be able to separate the hyperbole and storytelling of these new technologies from the actual practical use cases of how AI and machine learning is and will be delivering value in the marketplace. Investors should look for companies that have all three of these success factors of unique data modeling and applications being offered. And in conclusion, I'm proud of our team as I've seen a marked improvement in our execution that combined with the stabilization of the macro environment will be catalysts for future growth. Our outlook for the long term remains unchanged as the total addressable market for mobile advertising is over $300 billion, the addressable market for in-app payments is even larger than that into the future. I want to remind investors that in addition to this enormous and growing addressable market, we have products our customers want, a favorable regulatory environment and a profitable business model to drive operating leverage from our revenues and cost structure to attack the enormous market opportunity in front of us. With that, that concludes my prepared remarks, and I'll turn it over to Barrett to take you through the numbers.
Barrett Garrison: Thanks, Bill, and good afternoon. For the fiscal year 2023, we reported $665.9 million in revenue, down 11% year-on-year and generated $163.2 million in adjusted EBITDA or 25% of revenues and delivered $118.2 million (sic)  in adjusted net income or $1.15 per share as compared to $1.66 per share in the prior year. Now turning to the financial performance in the quarter. Revenue of $140.1 million in the quarter was down 24% year-on-year. Overall revenue performance was driven in large part by continued soft advertiser spending across both of our business segments. Within our On Device Solutions segment or ODS, revenues were sequentially flat to the December quarter and down 19% to the prior year March quarter. However, as Bill referenced, while we saw global devices increase year-on-year, we experienced greater than 20% declines year-over-year in U.S. device volumes, which have a greater overall impact given their higher revenue per device than our non-U.S. global operators and OEMs. Impacts from lower U.S. device volumes were partially offset by improved revenue per device in the U.S., which exceeded $5 per device and increased both sequentially and year-on-year. In addition to the impact from the near-term macro conditions, our ODS segment experiences headwinds from the prepaid content media that we have discussed in the past. And while the year-on-year decline has moderated, we expect the grow over comps to continue for the next couple of quarters. On our App Growth Platform or AGP business, fiscal '23 revenues were down 4% over last year, and Q4 declined 35% over prior year. Recent declines in the quarter year-on-year were driven in part by macro declines in ad rates and the short-term impact of the consolidation and exiting certain legacy AdColony business lines we have discussed previously. I'd reiterate Bill's earlier comment that despite the near-term headwinds, we're encouraged by the early integration benefits we are seeing by bringing these businesses together and expect these moves to have a positive impact on our future growth. Before leaving revenues, I would point out that in the quarter, we experienced timing differences from our original expectations and guidance that we provided on our last call. While overall revenue results were generally in line with our expectations, we entered into a strategic app publisher arrangement within the quarter, and the change in timing resulted in the majority of the recognition of these revenues and margins shifting from this March quarter into fiscal '24. Modest revenue upside in other parts of the business offset the shift in revenues, but this program made up several million dollars of change versus our previous expectations in gross profits in the quarter. Our gross margin was 49% in fiscal '23, up from 47% in the prior year and Q4 gross margin was 44%, which was down from 49% in Q4 from the last year. Changes in margin year-on-year were largely driven by the combination of quarterly product mix shifts, where we experienced a decline in the mix of certain higher-margin products or those where revenues are recognized on a net basis after revenue shares to our partner. And secondly, margins were also affected by exiting certain non-core business lines previously discussed. As a reminder, while gross margin rates can fluctuate from quarter-to-quarter, we generally anticipate long-term margin expansion as we continue to execute on growth and synergy strategies. We remain disciplined with expenses, especially in the light of the temporary backdrop of the fourth quarter. Cash operating expenses were $38 million in the quarter, decreasing 4% from prior year and represented 27% of revenues in the quarter. We would typically experience seasonally higher expenses in Q4, but we had an offset from lower-than-normal performance compensation expenses and other cost reduction actions. As we discussed previously, we are executing company-wide expense reductions to begin to right-size the business for the current environment and to fund key strategic investments, including investments in our enterprise-wide systems and integrations to drive future scale across our platforms. Earlier this year, we carried out a small workforce reduction and remain focused on optimizing efficiency without sacrificing catalysts for long-term growth. We expect the impact of these actions will become more fully reflected in our results over time and we remain highly focused on operating efficiency. Turning to profitability. Our adjusted EBITDA of $23.1 million in the quarter decreased from $50 million in the prior year and our EBITDA margin of 16% compared to 27% in the same period last year. Given the inherent operating leverage in our business model, we expect the active focus on expense measures we are taking will strengthen the platform when we return to growth and enable a greater portion of those dollars to follow the bottom line. In the quarter, we achieved non-GAAP adjusted net income of $13.6 million or $0.14 per share as compared to $40.9 million or $0.39 per share in the fourth quarter of last year. As compared to prior year, we incurred greater interest expense driven by rising rates and higher average outstanding debt. Our GAAP net loss was $13.9 million or negative $0.14 per share based on 100.7 million diluted shares outstanding compared to prior year net income of $20.1 million or $0.21 (sic)  per share. Free cash flow for the quarter of $12.5 million enabled us to exit the quarter with $75.1 million in cash after paying down an additional $12 million in debt using free cash flows from operations to further deleverage our debt position. Our debt balance ended the quarter at $413 million, drawn on our revolving credit facility. And our business continues to produce strong cash flows, and we would expect to continue to pay down our revolver. We continue to be confident in our balance sheet and capital position given our profit model, cash flow generation and access to low-cost credit facility. We expect these market conditions to be temporary, and we are well positioned to resume strong growth when the macro landscape improves. Now let me turn to our outlook. As we consider the ongoing uncertainties in the macro environment, we currently expect revenue for fiscal Q1 to be between $140 million and $145 million and adjusted EBITDA to be between $23 million and $25 million and non-GAAP adjusted net income per diluted share to be between $0.11 and $0.13 based on approximately 102 million diluted shares outstanding and an effective tax rate of 25%. With that, let me hand it back to the operator to open the call for questions. Operator?
Operator:  Our first question is from Darren Aftahi with ROTH MKM. Please go ahead.
Darren Aftahi: First, I just want to get more clarity. I was just doing some math, it looks like your business fell sequentially last year 15%, fell 14% this year on revenue. But the non-GAAP gross profit fell quite a bit more this year versus last year. And in the context of your comments about the strategic app publisher relationship, I guess, can you quantify how much in terms of like gross profit dollars are moving from what would have been in the March quarter to maybe down the line? I'm just trying to understand if that's the main reason for kind of the non-GAAP gross margin weakness or if there's something else.
Barrett Garrison: Yes. Thanks, Darren. Yes, I'll give you kind of an indication of the magnitude. I referenced in my prepared remarks that it was several million dollars. And so I'd also reference that we were basically in line with our expectations, had those not shifted out. But those several million dollars of revenue related to timing will move into FY '24.
Darren Aftahi: Got it. And then maybe could you just talk about the quarter you just came out of and maybe trends in April and May just in terms of impressions and eCPM? And then any kind of good, bad and different? You've called out, I think in the last quarter, you talked about regional performance. So anything in that context would be helpful. Thanks.
Bill Stone: Yes, Darren. It's Bill. I'll take that one. I'd say in terms of trends that we're seeing so far in the current calendar year; we continue to see improvement on the AGP part of our business, I think, which is in line with other players that have already reported. We're seeing rebounds in eCPMs. We're seeing rebounds in publishers wanting to continue to integrate our products. We're seeing really good progress I referenced in my commentary on the DSP, which we leverage SingleTap for. So I'd say on the AGP part of the business, the trends have been encouraging. On the ODS side of the business, the two major headwinds that we've been dealing with are really just new device sales and then having an enormous amount of insertion orders from these various Chinese publishers that want to run on our O&O supply. But quite frankly, due to primarily political considerations in the short-term, it's been a little bit of a struggle for us to do that. I think we've got a variety of other things that are in our control that I think give us optimism in terms of new supply, new products, other strategic demand relationships that we're referencing that it will all counteract that as we go forward into the fiscal year. But those two primary factors are the headwinds we're facing right now. And we want to put that consideration in our guidance for the current quarter. If something changes on those factors, obviously, that would be a tailwind for us.
Operator: The next question is from Omar Dessouky with Bank of America. Please go ahead.
Omar Dessouky: Thanks for calling out FairBid and having Google as one of its partners. Could you help us frame the size of that opportunity a little bit and also understand the competitive landscape in real-time bidding?
BillStone: Yes. Sure, Omar. Yes, we're excited because Google only announced a handful of partners that they're integrating with, and we were one of them. So it was really with the biggest mediation players in the industry. So we're quite proud of that. And our main issue on mediation has not been on the supply side in terms of getting publisher access. It's really having the share of voice on the demand side bidding into the platform. And so now really being able to add the strength of Google's, I'll call it, firehose of demand they can bring into the supply we can mediate really helps our mediation platform's competitiveness and scale. So that's something we're excited about because it's really about improving the share of voice that you're running on all these different apps on consumers' devices. And so this is a big win in terms of being able to add more demand to our supply.
Operator: The next question is from Anthony Stoss with Craig-Hallum. Please go ahead.
Anthony Stoss: Hey, Bill. A couple of questions related to the timing of that contract that didn't happen. Do you expect any revenue to hit in the June quarter?
Bill Stone: I'll let Barrett take that one.
Barrett Garrison: Yes. So just to clarify, we entered into the arrangement in the March quarter. The timing of the recognition of the revenues was different than we anticipated, and that shifted into fiscal '24, just to clarify that. And that timing of revenue will be throughout the year.
Anthony Stoss: All right. So do you not expect any for the June quarter, I guess, my question.
Barrett Garrison: Well, we won't spell out the particular assumptions in the guidance, but we do anticipate some of that revenue will flow into June as well as other contracts that we've executed in the past.
Anthony Stoss: Got it. And then, Bill, late in the quarter, you were at a conference, you're talking about Digital Turbine signing its biggest contract in history with Temu, and you rattled off a whole bunch of others. Were you able to book revenue from Temu in March? And what would you expect from them specifically up sequentially in June?
Bill Stone: Yes. I'd say that right now, we're running revenue with some of our O&O partners today on Temu but the amount of revenue they want to run versus the amount of supply that's available to be run is where the mismatch is. And I mentioned that we signed a greater than mid 8-figure deal with Temu that they really wanted to leverage our platform. But given a lot of the, I'll call it, politics around Chinese apps on U.S. devices right now, whether it's one player or multiple players, it's something I think that our O&O partners are taking a very cautious stance on. I don't expect that to continue. And so if and when that changes, that would be a really nice tailwind for our business because we'd be adding some really good demand onto the platforms at very high rates. But for now, we wanted to be cautious in our approach for the current guide to assume that doesn't happen at any scale for us.
Anthony Stoss: Got you. Two last questions, and maybe both probably for Barrett. When you look at the remainder of fiscal 2024 versus 2023, would you expect revenues to be up year-over-year? And then also give us a sense on kind of the trajectory on gross margins throughout the year.
Barrett Garrison: Yes. So as we think about the year, obviously, we don't guide for the full year. We provided guidance for the June quarter. I think the things that would be important to the growth factors beyond the strategic initiatives that Bill touched on would be the macro environment. And our expectation is that we see improvements in the second half of the calendar year. And then on the margin profile, I think what we've commented, we've seen a little bit of fluctuations over time in our gross margins, if that's what you're referring to or EBITDA margins?
Anthony Stoss: Gross margins.
Barrett Garrison: Gross margin. We would expect those to kind of stabilize in the high 40 range in the near term. But again, our long-term growth expectations around margins that they would continue to expand.
Operator: . The next question is from Dan Day with B. Riley. Please go ahead.
Dan Day: So maybe just a little more about your expectations for device shipments in the June quarter. What's embedded in there for the guide, I appreciate the commentary you gave around the double-digit decline in the March quarter. And then you also talked about U.S. RPD. Anything you can provide on international RPD, how that's trended? Anything you're doing to try and close that gap with U.S. RPD would be great.
Bill Stone: Yes. Sure, Dan. I'll take that. As far as first on international RPD, we are basically flat on our international RPD sequentially. We've got work to do there. So given there was some seasonality in the December quarter, I'm not saying it's not horrible, but it's not something we're happy with. I think our expectations continue to be higher, and we can do more. The one thing about the international RPD is that also varies by country. So if we're in developing countries versus developed countries on devices that can skew your international headline number a little bit. So for example, we do more devices in Latin America than Western Europe. The RPDs are a little lower. So your overalls would be lower if that makes sense. But on the domestic side, we've continued to focus in on some modest declines on devices here in the U.S. for the current quarter baked into our guide. Obviously, if that changes here over the next 5 or 6 weeks, that would be a tailwind for our business. But for right now, our assumption is that the trends are going to continue as we've seen.
DanDay: And then anything you can provide if I look at like the App Growth Platform line, 35% year-over-year decline, like how much of that was due to these non-core business lines being shut down versus like what it would have been, had those not been in it a year before. I think it would just help us frame up like what you guys are doing organically versus any of the peers out there in mobile ad tech.
Barrett Garrison: Yes. So I think you think of it as some of the legacy that we're winding down is in the range of kind of 10% of that historical revenue mix. The other thing that we're doing is, as we combine these platforms, there's an impact as they migrate. And those challenges or those revenue headwinds are, I wouldn't spell them out, but they're modest in the particular quarter.
Dan Day: If I could sneak one more in. Just for another quarter down the line with GamesHub, these alternative app store products you guys are working on, any better idea of when these might start to be a revenue growth driver? Or is it just kind of still way too early to say?
Bill Stone: Yes. I mean, we're seeing revenue on the products today. They're contributing incremental revenue that we didn't have last year. It's not in a place where it's moving the needle that -- but it is in a place where it is showing growth. So our optimism is we're going to continue to talk about it improving sequentially. And that's why I kind of referenced kind of the early days of our Dynamic Install business many, many years ago where it took a while to get going, but then once you get it going and each partner ramps by themselves and then you keep adding additional partners to it, that's why you really drive the top-line growth. And so our expectations are that something you're going to see as we go forward in time. The product market fit has been extremely encouraging from what we've seen in the marketplace. And now it's just a matter of kind of putting all the operational touches on it to put it in place to scale and that's where kind of the part we're focused on right now.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Bill Stone for any closing remarks.
Bill Stone: Yes. Thanks, everyone, for joining the call today, and we look forward to reporting on our progress against all the points we made on tonight's call. We'll talk to you again on our fiscal '24 first quarter call in a few months. Thanks, and have a great night.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.